Operator: Welcome, and thank you for standing by. [Operator Instructions] Today's conference is being recorded.  Now I will turn the meeting over to Ms. Patricia Murphy with IBM. Ma'am, you may begin.
Patricia Murphy: Thank you. This is Patricia Murphy, and I'd like to welcome you to IBM's first quarter 2023 earnings presentation. I'm here today with Arvind Krishna, IBM's Chairman and Chief Executive Officer; and Jim Kavanaugh, IBM's Senior Vice President and Chief Financial Officer. We'll post today's prepared remarks on the IBM Investor website within a couple of hours, and a replay will be available by this time tomorrow. To provide additional information to our investors, our presentation includes certain non-GAAP measures. For example, all of our references to revenue growth are at constant currency. We have provided reconciliation charts for these and other non-GAAP measures at the end of the presentation posted to our investor website. Finally, some comments made in this presentation may be considered forward-looking under the Private Securities Litigation Reform Act of 1995. These statements involve factors that could cause our actual results to differ materially. More information about these factors is included in the company's SEC filings.  With that, I'll turn the call over to Arvind.
Arvind Krishna : Thank you for joining us. Our first quarter results demonstrate that clients continue to turn to IBM to help them address today's business needs while positioning them for the future. We had a good start to the year with mid-single-digit revenue growth at constant currency, in line with our midterm model and growth in free cash flow. Performance was led by Software and Consulting as clients continue to accelerate their digital transformations, modernize their applications, automate their workflows, and create flexible and secure hybrid cloud environments. More recently, clients are prioritizing digital transformation projects that focus on cost takeout, productivity and quick returns. While demand for our offerings that support these priorities remains solid, we are seeing some deceleration in Consulting from the previous robust growth levels, especially in the United States. Globally, our clients continue to see technology as a fundamental source of competitive advantage. Technology helps them scale and enhance productivity, which is especially important in the face of inflation, demographic shift, cybersecurity, supply chain issues and sustainability goals. All of this supports our revenue growth expectations for the year. Our focus remains on revenue growth and free cash flow. 90 days ago, I shared that in 2023, we continue to unlock more productivity, expand our strategic partnerships and put more investment in specific growth markets. Productivity has always been an important part of our business model. It frees up spending and increases financial flexibility to enable investments. We have started to see some of this pay back in our results, which gives us confidence in our ability to achieve our full year free cash flow objectives. Let me spend a few minutes on the progress we have made in the execution of our strategy. Our focus is on hybrid cloud and artificial intelligence, the two most influential technologies for business. In tandem, these technologies drive both business outcomes and innovation. Hybrid cloud is now the most prominent form of IT architecture, and our approach is platform-centric. Red Hat OpenShift is the leading container platform, enabling clients to leverage the latest innovations in open source software. IBM's software and infrastructure have been tailored for this platform. Our consultants use their technical and business knowledge to speed up clients' digital transformation processes. In the first quarter, we co-created with more clients to unlock business value from a hybrid cloud approach. We are working with Virgin Money to migrate their credit card service to the IBM Cloud for Financial Services. They will also leverage IBM's consulting capabilities to create new digital customer experiences. For the Boston Red Sox, we are collaborating with Wasabi Technologies, leveraging hybrid cloud technologies to analyse key data sources that improve the club's operations. The second element of our strategy is top of mind for a lot of clients, artificial intelligence. AI is projected to add $16 trillion to the global economy by 2030. Keep in mind that AI for business is different than AI for consumers, given their need for more accurate results, trusted data and governance tools. AI techniques such as foundation models, large language models and generative AI, give businesses the ability to create 100 AI models from a single data set. Early client engagements experienced a 70% faster time to value. That is why we are seeing a lot more interest from business and using AI to boost productivity and reduce costs. Productivity gains will come from enterprises turning their workflows into simpler automated processes with AI. To achieve this, we are collaborating with companies like Citi to enhance their internal audit and compliance processes through AI. J.B. Hunt Transport use our Turbonomic AI-powered resourcing and automation engine to optimize their cloud environment. This helped reduce infrastructure refresh costs by 75%. This is a great example of the work we're doing in IT operations. In other areas such as customer care, we are automating hundreds of thousands of call center responses with AI with more than 90% accuracy and greater levels of customer satisfaction. In cybersecurity, our elite defense teams are deploying AI to defend against criminals in real time. In digital labor, we are helping finance, accounting and HR teams save thousands of hours by automating what used to be labor-intensive data entry tasks. To bring our hybrid cloud and AI strategy to market, our partner ecosystem continues to play a critical role. We expanded our partnership with Adobe to help marketing and creative organizations make the production of content easier. IBM and EY announced a collaboration using IBM software and EY's sustainability consulting practice to help companies operationalize decarbonization action plans. Juniper Networks and Nokia also recently expanded their collaboration around IBM's network intelligence and automation solutions to monetize and optimize investments in networks more effectively. We remain focused on delivering new innovations that matter to our clients. A good example of this is the Cleveland Clinic-IBM Discovery Accelerator where multiple projects are underway that leverage the latest in quantum computing, artificial intelligence and hybrid cloud to help expedite discoveries in biomedical research. At the Cleveland Clinic, we also recently unveiled the first quantum computer dedicated to health care research. To complement our own innovations, in the first quarter, we acquired 3 companies that extend our capabilities in hybrid cloud and AI. We also continue to engage in projects that have a positive impact on society. Many clients are leveraging our technology and expertise to advance their sustainability agendas. For example, in the area of manufacturing, Siemens and IBM are announcing a new software solution that integrates software from both companies to enable sustainable product development. Sustainability is a focus area for all businesses. And just last week, we released our annual report on IBM's efforts in this area, IBM Impact. I'd encourage you to read about our progress in areas ranging from energy savings and carbon emissions reduction to skills development and increasing diversity. I'll conclude by saying that we are confident in the changes we have made to our business over the last three years, aligning our strategy, priorities and portfolio to the needs of our clients. This work, together with our continued focus on productivity, are enabling us to deliver sustainable revenue and free cash flow growth.  I'll now hand it over to Jim who will offer more insight into our performance and expectations.
James Kavanaugh : Thanks, Arvind. I'll start with the financial highlights of the first quarter. We delivered $14.3 billion in revenue, $1.4 billion of operating pre-tax income, $1.36 of operating earnings per share and $1.3 billion of free cash flow. Our revenue for the quarter was up about 4.5% at constant currency. That includes over 1 point of impact from the businesses we divested. Currency rates impacted our reported revenue growth by 4 points. That is over $100 million more than spot rates would have suggested 90 days ago. As always, I'll focus my comments on constant currency. Revenue growth this quarter was led by Software and Consulting. Software revenue was up nearly 6% and Consulting up 8%. These are our growth vectors and now represent about three-quarters of our annual revenue. Our infrastructure revenue was flat with continued strength in z Systems. All three of our geographies grew, with high single-digit growth in both EMEA and Asia Pacific. Across our business, more than half of IBM's revenue is recurring, led by high-value software which is growing at mid-single-digit rate. Looking at our profit metrics for the quarter. Operating gross margin expanded 80 basis points. We expanded gross margin in all segments with a strong portfolio mix overall. Operating pre-tax income, excluding the impact of workforce rebalancing, was up 12%, and margin expanded 130 basis points. You'll recall back in January, I mentioned we were planning to address remaining stranded costs from our portfolio actions and we anticipated a charge of about $300 million. As we executed our plan, we took a charge of $260 million in the first quarter, and we expect to complete this action in the second quarter. This workforce rebalancing charge primarily addresses indirect support function. We are no longer including workforce rebalancing charges in our measure of segment profit to provide a view of our segment results consistent with our ongoing operational profile. At the IBM level, including the workforce rebalancing activity, operating pre-tax income was down 4%, and margin was down 50 basis points. Within our margin performance, we absorbed a significant currency headwind. The combination of translation and hedging impacted operating pre-tax profit growth by about $160 million and operating PTI margin by 70 basis points year-to-year. As I've discussed in the past, this essentially impacts our product-based businesses. Mitigating that, the change in useful lives of our server and networking equipment provides a 50 basis point year-to-year benefit to operating PTI margin, which is included primarily in our infrastructure segment. Taking it back up a level, IBM's profit performance this quarter benefits from improvements in business mix and ongoing productivity initiatives. We've been digitally transforming IBM, much in the same way we're helping our clients with their transformation, using both IBM and third-party capabilities. Think of IBM as client zero. We are driving G&A efficiencies by reimagining and transforming the way we work. This includes optimizing our infrastructure and application environments as well as redesigning our end-to-end business processes. Let me give you a few examples. Across IBM's IT environment, we're realizing the value of hybrid cloud. We reduced the average cost of running an application by 90% by moving from a legacy data center environment to a hybrid cloud environment running on Red Hat OpenShift. We've been simplifying our application environment. By standardizing global processes and applying AIOps, we are reducing our application portfolio by more than 35%. We've automated over 24 million transactions with RPA, avoiding hundreds of thousands of manual tasks and eliminating the risk of human error, and we're deploying AI at scale to reengineer our business processes. We're doing that in areas like HR and talent, finance and end-to-end processes like quote to cash and Source to Pay. For example, in HR, we now handle 94% of our company-wide HR inquiries with our AskHR digital system, speeding up the completion of many HR tasks by up to 75%. These productivity initiatives free up spending for reinvestment and contribute to margin expansion. Turning to free cash flow. We generated $1.3 billion in the quarter. This is up $100 million year-to-year and puts us on track to our full year expectation. Growth is driven by our profit performance and working capital efficiencies as well as lower payments for structural action. This was mitigated by an increase in capital expenditures and higher performance-based compensation payments, given last year's strong results. In terms of cash uses, we returned $1.5 billion to shareholders in the form of dividends. From a balance sheet perspective, we have a very strong liquidity position with cash over $17 billion, which is up nearly $9 billion from December. We have been opportunistic in accessing the debt market and issued debt early in the year to prudently get ahead of 2023 and 2024 maturities. Our debt balance at the end of the first quarter was over $58 billion, up nearly $8 billion from year-end. Turning to the segments. Software revenue grew nearly 6%, in line with software's mid-single-digit model. We had growth in both Hybrid Platform & Solutions and transaction processing. This performance captures the benefits of our growing recurring revenue stream, which is about 80% of annual software revenue with continued strong renewal rates. This, together with growth in software transactions this quarter demonstrates clients' commitment to our hybrid cloud and AI platforms. In Hybrid Platform & Solutions, revenue was up 5%, fueled by growth across all business areas. We continue to see client demand for broad capabilities across Red Hat, automation, data in AI and security. Red Hat revenue grew 11% with growth across all major offerings. We have particular strength in our hybrid cloud platform, OpenShift; and Ansible, our IT automation solution. Both offerings also continue to take market share this quarter. Automation revenue was up 2%, driven by integration and application servers, given client demand for improved IT performance and costs. In data and AI, revenue grew 3%, reflecting growth across data management, business analytics and asset and supply chain management. Many of these offerings, like Db2, serve as the underpinnings for modern AI and mission-critical workloads. Security revenue was up 2% with growth across security for hybrid cloud, which includes both identity and threat management and security for data. Bringing this all together, our Hybrid Platform & Solutions ARR is now at $13.5 billion. In transaction processing, revenue grew 6.5%. The software remains core to our clients' hybrid cloud strategies. The strong performance over the last couple of system cycles drove significant capacity growth. In fact, installed MIPS growth during our z15 cycle was 2x that of z14. This translates to software opportunity and contributed to growth in both recurring and transactional revenue. Layering in this year's price increases, we delivered good performance in Transaction Processing this quarter. Moving to profit for the Software segment. Gross margin was up and pre-tax margin was flat this quarter with the latter absorbing nearly 1 point of impact from currency. Consulting revenue was up 8% and I'll remind you, we had a strong growth in the first quarter of last year. Our book-to-bill ratio over the last 12 months was 1.07. Signings in the quarter grew 7% with similar performance across both larger and smaller engagements. We continue to see broad demand for projects that deliver technology-driven transformation, leveraging a hybrid cloud environment. Within the quarter, demand was solid for cloud modernization offerings, and we had one of our largest Red Hat signings quarters ever. More recently, clients are particularly focused on driving productivity and cost reductions with greater agility and faster time to value. This is contributing to signings growth from digital transformations in areas such as talent, finance and supply chain transformation. In terms of revenue, while we had solid growth overall, we have seen some clients in the U.S. pull back on more discretionary projects, impacting backlog realization within the quarter. Bringing it back up to the global level, Business Transformation grew 6%, Technology Consulting grew 4% and Application Operations grew 13%. Revenue growth was led by data and customer experience transformation project, in addition to cloud application development and management. Our hybrid cloud expertise and depth and breadth of strategic partnerships differentiate IBM Consulting in today's market. Red Hat consulting revenue, now over $2 billion annually, continue to grow at a double-digit rate. And our strategic partnerships continued strong growth, making up over 35% of our revenue in this segment over the last 12 months. Moving to consulting profit, we expanded both gross and pre-tax margins. Our pre-tax margin of about 8% in the quarter was up 50 basis points year-to-year as we continue to benefit from the productivity actions we've taken. Turning to the Infrastructure segment, revenue was flat. Hybrid Infrastructure revenue was up 4% and Infrastructure Support revenue was down 4%. Within Hybrid Infrastructure, z Systems revenue was up 11%. This was a fourth quarter of z16 availability, and the solid program performance has outpaced that of prior cycles. In addition to capabilities around embedded AI at scale, cloud-native development for hybrid cloud and cyber resilience security, clients are also leveraging z16 for its energy efficiency. For example, consolidating Linux workloads on a single z16 system can reduce energy consumption by up to 75%. We continue to see strong growth in shipped MIPS for new Linux workloads on z16. Distributed infrastructure revenue was flat. Growth in storage was offset by declines in power as we have wrapped on the launch of the Power10 high-end systems.  Moving to infrastructure profit. We expanded both gross and pre-tax margins. The 80 basis point improvement in pre-tax margin reflects benefits from both the z Systems' product cycle and changes in useful life, partially offset by nearly 2 points of currency impact. Now let me bring it back up to the IBM level to wrap it up. When we first introduced today's IBM back in October of 2021, we provided a midterm model for revenue growth, margin expansion and free cash flow growth. We delivered on that model throughout last year and now have a good start to 2023. In the first quarter, we delivered constant currency revenue growth in line with our mid-single-digit model, expanded gross margin, drove productivity in our underlying business and grew our free cash flow. Looking at full year 2023, as always, I'll start with our two primary metrics: revenue growth and free cash flow. On the top line, we expect constant currency revenue growth of 3% to 5%. And we continue to expect free cash flow of about $10.5 billion, which is up over $1 billion year-to-year. Inherent in our midterm model is margin expansion, driven by improving business mix, efficiency initiatives and productivity enhancement. Driving efficiency and productivity has always been a part of our operating and financial models. I mentioned some of the initiatives we have underway and we continue to evaluate additional actions. Altogether, the current initiatives are expected to deliver $2 billion in annual run rate savings by the end of 2024. These initiatives provide additional flexibility, enabling reinvestment in the business to support future growth, contributing to margin expansion and increasing financial flexibility. Let me spend a minute on our expectations for constant currency revenue and pretax profit performance by segment. In Software, we continue to expect revenue growth in line with software's mid-single-digit model. This revenue growth drives operating leverage, and we still expect software pre-tax margin to expand by about 2 points year-to-year. In Consulting, we continue to see strong demand for digital transformations and application modernization. So as I said, we are seeing some pressure on more discretionary projects in the United States. We now see Consulting revenue growth in the range of 6% to 8% and continue to expect to expand Consulting pre-tax margin by at least 1 point as we capitalize on the yield of our productivity actions. Infrastructure revenue is roughly flat over the midterm model horizon, with performance in any year reflecting product cycle dynamics. We're about to wrap on the z16 introduction. As a result, we expect 2023 infrastructure revenue to decline with pre-tax margin in the low teens. To provide some perspective, Infrastructure should impact IBM's overall revenue growth by over 1 point. With these segment dynamics, we would expect IBM's operating pre-tax margin to expand by about 0.5 point year-to-year. That's in line with our model. And we continue to expect our tax rate to be in the mid- to high teens range. As I mentioned earlier, the dollar has strengthened over the last 90 days. We now expect currency translation to be fairly neutral to our revenue growth for the year, which is about 0.5 point worse than 90 days ago. I'll remind you that our profit and cash dynamics this year are impacted by the unwinding of last year's hedging gain, which is about 1 point of headwind to our pre-tax margin expansion. Looking at the second quarter, we expect first to second quarter revenue seasonality to be fairly consistent with last year. That's up about $1.3 billion, though the underlying dynamics are different due primarily to z Systems' product cycle and currency. I'll remind you, we had a successful launch of our z16 in the second quarter of last year, and that creates a year-to-year headwind to growth of about 3 points. In terms of profit, we now expect a little over 1/3 of our operating net income in the first half and just under 2/3 in the second half. This reflects a first half headwind from currency and workforce rebalancing dynamics, both of which flip to a tailwind in the second half. I mentioned the workforce rebalancing activity we have underway. Between the first and second quarter, the charge should be in the range of $300 million, maybe a little more. We still expect this action to pay back by the end of the year. In closing, we entered the year as a more focused business with solid fundamentals. We had a good start to 2023 and are positioned to deliver revenue growth, expand margins and grow free cash flow for the year. I'm happy to provide more color on the quarter and our expectations in the Q&A. Patricia, let's get started.
Patricia Murphy: Thank you, Jim. Before we begin the Q&A, I'd like to mention a couple of items. First, supplemental information is provided at the end of the presentation; and second, as always, I'd ask you to refrain from multipart questions. Operator, let's please open it up for questions.
Operator: [Operator Instructions] Our first question will come from Shannon Cross with Credit Suisse.
Shannon Cross : Arvind, there's a significant amount of uncertainty with regard to end demand in the marketplace right now. So I'm wondering, as you speak to customers, can you talk to demand trends you're seeing both on a vertical and a geographic basis? Just give us some more color on what you're hearing because, I mean, after CDW, I know it's a different market, but there's a lot of questions out there in terms of what people are spending money on, why they want to spend and if it's going to continue in the second half.
Arvind Krishna : Shannon, thank you for the question. And as you can imagine, we spend a lot of time both digesting and making our own estimates based on what our clients are saying. So you said geography, verticals and then within technology segments, so let me try to unpack it a little. So on a geography level, a lot of the uncertainty that is in the media here, certainly in North America is not there in Asia at all. If I look across Japan, India, the Middle East, which kind of covers the broad swath of Asia, with the exception of China, we don't see any of that playing out. The geopolitics around China is a slightly different piece but I think everyone is subject to that right now. Then if I come to Europe, it's actually been stronger than I would have predicted six months ago, but that is because of my point on technology as a deflationary force. When we look at the mixture of interest rates, inflation, wage inflation, demographic, meaning labor shortages, supply chain resiliency, cyber, technology is actually the only answer companies have against all that. Now that does apply to the larger enterprises who are our primary customers. When I come to the United States, we did see some slowing down in consulting projects, as I said. But that is because consulting is somewhat discretionary. However, we are not seeing people cancel projects. What they are doing is slowing them down, meaning pushing to the right, which is why we took the numbers down for consulting, believing that, that may spread in some sense to other parts of the globe as well. Software, we are seeing demand remain very steady. We're not seeing any signs of weakness in software. Admittedly, we are in B2B software. We are not in any B2C segment. And in infrastructure, I think it's less of a macro. It's much more, in our case, a product cycle issue that is playing through. I hope that gave you some color on why we have confidence in the demand, weakness in 1 particular area, which we think will likely play through. But I want to caution that weakness is not us shrinking. It just says that double-digit rates went down into the 6% to 8%, which is still healthy.
Patricia Murphy: Thank you for the question, Shannon. Let’s go to the next one please.
Operator: Our next question comes from Amit Daryanani with Evercore.
Amit Daryanani : I guess I was hoping you could talk a bit more on the software side, and I think growth across both hybrid and transaction seems to be fairly good in the quarter. But Arvind, if you think about some of these consulting softness that's happening, you talked about that in North America. How do you think about the risk of that potentially spreading to some of the software side as well? So I'd love to understand, are you seeing any sense, any of that pushout happening in the software side as well? And then as you -- secondly, as you think about this mid-single-digit growth in software for the year, how do you think that stacks up between hybrid versus Transaction Processing?
Arvind Krishna : So Amit, let me just take the first part of your question on the linkage between consulting and software, and then I'll hand it to Jim for other parts of the question. So I think that if I look at the consulting, it's not going to spread to software in our belief. Remember, our consulting is comprised if you just want to break it down into sort of three parts. We work with a lot of other partners including on the public clouds, including with large software providers, and we tend to do these projects for our clients. I keep cautioning, it's slowing down but still in the 6% to 8%, not in a rate lower than that. Yes, there is a linkage to software but a lot of our software is running critical systems for our clients, and we don't see those very subject to what we see in the current macroeconomic environment. And so that's what gives us confidence on those. Also, I think the movement towards hybrid cloud and the ability to take advantage of AI for enterprise productivity is perhaps going to be a tailwind as we enter the second half of the year because I do think that clients are going to do a lot of automation and a lot of cost cutting, which will likely benefit elements of our software portfolio. Jim?
James Kavanaugh : Yes. So Amit, thank you very much for the question. I mean, as building on what Arvind just said, we are very pleased overall with our start to the year with regards to software here in the first quarter, nearly 6% growth at the high end of our model overall. By the way, the fundamentals of that business doing extremely well, growing gross margins 60 basis points, growing pre-tax income. But software is an integral part of not only our hybrid cloud platform thesis but also an integral part of that economic multiplier equation. $25 billion of revenue, over 40% of IBM's revenue composition, over 2/3 of IBM's profit, solid ARR $13.5 billion, growing 7% and a flywheel effect of NRR going well north of 100%. And I think linking back to Shannon's question and part of your question, Arvind's been very clear that we believe that technology is a source of competitive advantage for every industry and every client now, and we built out a portfolio to go capitalize on that. Now let's take a step back because you asked a question about revenue contribution and then the mix of Hybrid Platform & Solution versus transactional. Let's talk first about the revenue contribution. Going back 90 days ago, we laid out the year. We said we were confident in our software portfolio, growing on model. We started off the first quarter with putting a dot on the board and contributing to that level actually near the high end. But we said entering the year that we've got about 80% of our portfolio is high-value recurring revenue, annuitized revenue. And we thought that, that is going to contribute a little over 5 points of that midterm model growth -- mid-single-digit model growth. And underneath that 5 points, about half of it is going to come out of Red Hat, by the way, growing 11% to 13% for the year, and about half of that out of our recurring revenue stream from IBM, capitalizing on a very strong installed MIPS capacity and renewal rates, along with some price optimization. And by the way, first quarter played out that way.  Now Transaction, the remaining 20%, we said we definitely acknowledge we're heading into the down cycle on ELAs. And by the way, ELAs don't go up 100% one year and down. Over a three-year period, you typically get 60% in the first year and then it whittles down over the next couple of years. And we said we expect about a zero to 1-point headwind. And in the first quarter, we actually did quite well. The transactional volume actually contributed over 1 point of Software's growth. So that's kind of a build-up of the contribution between our two businesses. Now around the lines of business, Hybrid Platform & Solution, our model is anywhere from mid- to high single digit. We delivered 5% in the first quarter. And what we see for the full year is right along that model. Red Hat improving, given the performance of a renewal cycle. We've got an ARR at $13.5 billion, growing 7%. And by the way, that's a leading indicator, which is positive for us. Our Cloud Pak growth continues to be very strong, and we got new innovation that we continue to bring to market. And then Transaction Processing, very pleased overall first quarter, 6.5% growth. We believe full year is going to be somewhere in the low to mid-single digit. And again, that is capitalizing on that 2x growth in installed MIPS and those strong renewal and price. So that kind of hopefully sums up the software portfolio for your question.
Patricia Murphy: Okay, sure. Let’s go to the next question please.
Operator: Our next question comes from Toni Sacconaghi with Bernstein.
Toni Sacconaghi : I was just wondering if you could comment a little bit about Red Hat. I think I recall your guidance was for mid-teens growth for the year. And in the first quarter, it was 11% at constant currency but ex deferred revenue accounting was probably 7% or 8%. So how do we get confident that the back half of the year where there's little to no deferred revenue accounting contribution can be fundamentally like 17%, 18%, so an acceleration from 7% or 8% to 17% or 18%. And then secondly, can you comment just on the impact of software pricing? Are you only seeing that in Transaction Processing? Or are you seeing in other parts of the software business? And how should we be thinking about sort of the magnitude of the impact of price increases?
Arvind Krishna : So great questions. So let me start, and then I'm going to give it to Jim for a lot more detail. So first of all, on Red Hat, as I think Jim answered in one of the prior questions and in some of the prepared remarks as well, we are now expecting 11% to 13% for the year. That's kind of where we expect Red Hat to be. And that's an all-in number for the year that's inclusive of Q1. So Q1 was at the bottom end of that range. We are seeing more demand coming up as we go through the year. We know our cycles of renewals in Red Hat. If you sort of think that much like other software businesses, it's about a three-year cycle. If you go all the way back to 2020, which was a boom year, those are coming up in 2023. And so we believe that will give us 1 point or 2 point further tailwind behind the Q1 numbers. So as we sort of go through that, that gives us confidence based on the demand profile, the renewals as well as the uptick of the faster-growing areas like both OpenShift and likely Ansible coming down the road that we'll see numbers in that range. So with that sort of color on that, let me give it to Jim to add a lot more color on to both Red Hat and the other part on your pricing question.
James Kavanaugh : Yes. Thanks, Arvind, and thanks, Toni for the question so we can get some clarity out here because I know this has been a hot topic of all of my discussion with investors over the first quarter, especially in light of the macroeconomic environment. First of all, as Arvind indicated, we're pretty pleased with the performance overall of our Red Hat portfolio. 11% growth here in the first quarter, off of, by the way, the toughest compare last year at 21% growth overall. And by the way, just to put this to rest, the operational growth compared to the GAAP growth is very similar in the first quarter. So the combination of deferred revenue, which, by the way, is de minimis, it's like in the single million dollars and the intercompany, to get a bridge from operational to GAAP is a rounding error in the first quarter. And by the way, we continue to expect that as we go forward. So the number that we report, and by the way, we're, what, four years into this acquisition now and we continue to talk about deferred revenue. But let's put that aside. Underneath the performance of 11%. Red Hat OpenShift's strong performance here in the quarter, growing north of 40%. We talked about 90 days ago, we put the number out there. Now that we've got to a $1 billion ARR business, we're seeing very good momentum in OpenShift as the leading hybrid cloud platform overall. And our Ansible portfolio, to Arvind's point, is scaling nicely and taking share on top of that. Now what's going to drive the growth in the second half of that 11%? We called the year now at 11% to 13%. I think being prudently cautious. We have a strong renewal available base that will start kicking in, in the second half. So I think that's really the core to the answer about the renewal base on the subscription. But just wrapping up Red Hat and the discussion I have with investors, taking a big step back, we're pleased overall. We're four years into this acquisition. We have quadrupled the Red Hat revenue from pre-acquisition in 3.5 years. And around the multiplier effect, we've accelerated our software portfolio, and we've accelerated our consulting portfolio to a high -- mid- to high single-digit growth business overall. So we're very pleased overall.
Patricia Murphy: Thanks for that. Sheila, can we please go to the next question?
Operator: Yes. Our next question will come from Wamsi Mohan with Bank of America.
Wamsi Mohan : Arvind, you're now incorporating the possibility for slightly lower revenue growth, sounds like both around consulting, some areas like Red Hat and some of this is clearly macro. But at the same time, profitability is even more back-end loaded now. So what is giving you the confidence that these PTI improvements that you're targeting by segment, 100 bps in Consulting and 200 bps in Software is really going to come through in the second half of the year. And free cash flow guide remains unchanged despite sort of the revenue outlook having potential deterioration? Love to get some color on that.
Arvind Krishna : Sure, Wamsi. Look, I'll answer it in terms of what I'm seeing on the business, and I'll let Jim then put some precise numbers on it. We actually -- when we spoke to all of you in January, we were saying about 1/3 in the first half and 2/3 in the second half. Now we are saying actually a little bit more than 1/3 in the first half and the remaining in the second half. So actually, we are actually bringing it up a little bit despite taking on the restructuring charges and some of the Kyndryl associated charges that we're absorbing in those numbers. So what gives me confidence is when we look at the underlying performance in the first quarter, not all of our actions and productivity play out right in the quarter. But we are seeing enough green shoots in all of them to be able to predict those increases, of 1 point in consulting, the 2 points in software, et cetera, as you play through the year. And that allows us to have confidence in both the PTI and the cash flow despite the revenue numbers that we are projecting going forward. And I think actually, Q1 is a good down payment towards that, Wamsi. Despite the restructuring charge, we increased free cash flow by $100 million, and so that actually all goes together towards our numbers. Jim, anything you'd like to add to that?
James Kavanaugh : Yes. I would just say, I mean, you nailed it, Arvind. Wamsi, thank you very much for the question. Again, another important topic for our investors overall. The real two issues that are driving this distortion of seasonality of our profit and our cash, to Arvind's point, is currency and the workforce rebalancing charge. We said on the latter that it would pay back in the year, maybe a little bit more, but that is a big distortion of a $300 million-plus charge in the first half and a significant return in the second half. And by the way, that will benefit all of our segments. As you know, we fully allocate all of our indirect support costs to all of our segments so they'll get margin leverage off of that. But the only point I'd make on currency. Currency is a very different picture half to half. Revenue, neutral for the year, a headwind -- by the way, it was a bigger headwind in the first quarter. It was at the high end of 400 basis points. Second quarter, we say it's about 100 basis points headwind. That turns into a nice tailwind in the second half. And as we talked about many times in the past, currency impacts our business differently. Between our human capital-based consulting business, which, by the way, as you all understand, is a natural hedge because cost to source the same way as revenue. But our product-based businesses have a distortion in predominantly U.S. dollar cost and revenue in local currency. So when currency flips to a translation benefit in the second half, it has substantial margin leveragability coupled with that software growing at mid-single digit and a high-value annuitized TP world that carries very high marginal dollar profitability. So all else equal, currency and workforce rebalancing aside, it's a pretty typical year. And we, on top of that, have put out the $2 billion productivity number that we're going to continue aggressively going after.
Patricia Murphy: Thank you, Wamsi. Let’s go to the next question please.
Operator: Our next question comes from Lisa Ellis with MoffetNathanson.
Lisa Ellis : Wanted to ask about the impact of the recent banking mini crisis we've had over the last 6 weeks or so. What impact are you seeing on your business, given how much work IBM does with financial services firms? Like are you seeing any disruption? Or maybe on the flip side of that, any acceleration in demand for products and services, say, in like the risk management area?
Arvind Krishna : Lisa, great question. I'll begin by saying that what we have seen, which is so far mostly United States and a little bit in Europe, is going to be a second-order impact on us, not a first-order impact. Let me unpack that and say what I mean. The bulk of the uncertainty is around the smaller banks. They're being labeled regional banks but let me acknowledge some of these regional banks are really national banks. But that said, now as they get forced into tightening some of their lending standards, that is largely going to have an impact on SMB, small and medium business clients who are not our direct clients. Now let me acknowledge they are clients, though, of other larger companies who are our clients, but it gets muted as in the impact on us. When we're looking at our large banking clients, whether you think of the top 5 or 10 in the United States, you think of the top 20 in Europe, we are seeing pretty consistent demand right now because that is largely driven by payments, by retail accounts, by capital markets. And as you think about all of those, as long as you have reasonable employment and reasonable GDPs, we expect that, that demand is going to continue for our first-order clients. The second order will no doubt have a muted but it's a very tiny impact, and that is kind of what is baked into our current growth assumptions.
Patricia Murphy: Let’s go to the next question please.
Operator: Our next question comes from Erik Woodring with Morgan Stanley.
Erik Woodring : I guess, Arvind, maybe if you can just give us an update on how you're thinking about M&A, just given the broader macro environment, some of the comments you made about the consulting business, interest rates, your cash balance. If you could just bring it all together, maybe just provide an update today and if anything has changed relative to 90 days ago?
Arvind Krishna : Thanks, Erik. Great question. So I actually believe I'll begin by saying, I believe that as asset prices adjust, this could be quite an opportunistic time. Now is it going to be opportunistic in a month or in three months or in 12 months? I can't really predict. I'll be candid to say most of you probably determine that far more than we do. Now what are we doing to prepare and in what areas are we interested? If you notice, we carry a fair amount of cash on our balance sheet. As we have pointed out, we have a fair amount of FINFLEX at the IBM level. Even accounting for the dividend, because if you look at it over a 3-year period, that leaves circa $20 billion of total FINFLEX over 3 years. We're going to be judicious. We're going to wait for the right time. And it is going to be in the areas that we want. Those areas are going to be in our higher-value software and in areas where consulting can accelerate. We expect to remain 60%, maybe 75% of our total spend will be in software. The remaining will be in consulting. In Software, we're going to stick to our areas: hybrid cloud, artificial intelligence and data, cyber, automation, the areas we have talked about. So those are the areas, that is the amount we have, and we're going to wait for the appropriate time to leverage. But Erik, to answer, M&A is a very definite part of our model, and it is part of what is baked into both our mid- and long-term models for growth.
Patricia Murphy: Thank you, Erik. Sheila, let’s go to the next question.
Operator: Our next question will come from David Grossman with Stifel.
David Grossman : Arvind, maybe you could talk a little bit more about the pricing dynamic in the marketplace and the pricing environment, given the shifting macro that we face. And perhaps you could help us better understand how to think of pricing and its impact on revenue growth this year and just prepare us for some of the potential outcomes and pricing and its impact on revenue growth next year?
Arvind Krishna : Okay. Thank you, David. Look, I'm going to break my answer up differently between the labor-based businesses and the technology businesses. In a labor-based business, we face the same inflation that the rest of the world is seeing. Our employees are expecting higher wages. As we hire new people, they get hired in at higher wages than their similar colleagues were a year ago. We have to get a return on that back from our clients. That said, if you take a 12- to 18-month period, all of that has to get baked in. Otherwise, that's not a healthy business. But if I take a 6- to 12-month period, there is a slight lag, which is why you get some but not all of that, and you can see that in the Consulting margins late last year. We expect that we'll begin to get some of that back. But if inflation remains at 10%, then you're kind of behind that but you get pricing power over the medium term there. If I go to our technology businesses, there is a gain. There is inflation in the goods that we purchase against those. And we invest very heavily in R&D and in technology, experienced people to help our clients. So there is, again, inflation in there. There is also inflation currency rates. But it's all in, it's packaged into what I'll use the word inflation. We expect that we will not get the full inflation. If I looked at the number this morning, the UK was saying 10%. You may not get 10% but we will get 4% or 5% or 6%. So over two or three years, you can feather that inflation back in, which is, again, required. Otherwise, we will not be able to invest in the innovation that our clients want. And that's how we should think about it, that we are willing to sort of feather it in so that our clients don't get a sticker shock right away. But over time, that is, I think, the nature of inflation, if I remember my college economics lessons.
James Kavanaugh : I would just add one thing. It goes without saying as Arvind continues to coach me, pricing optimization is always a direct reflection of the value that you have and the differentiation you have within your offering portfolio overall. So we talked about the consulting side. By the way, fourth consecutive quarter of nice improvement on price margins. You're seeing that play out in the gross margin up 90 basis points. But our software-based portfolio, where we do have differentiation overall, we talked about 90 days ago, right, we had some price optimization. You're seeing some of that play. And in the first quarter, probably about 1 point. For the full year, we think of our mid-single-digit model might be a couple of points. So somewhere in that ballpark, David.
Patricia Murphy: Let’s take one more question, Sheila. 
Operator: Our last question will come from Kyle McNealy with Jefferies.
Kyle McNealy : I wonder if you could talk a little bit about your opportunity with AI, whether you're doing anything different with your business now versus the past few years. Do you have any new standalone AI products that you're launching that you could use to help reaccelerate in data and AI? I know that products go across the whole business, but some reacceleration in data and AI software products would be great. And what areas of the business do you see the most near-term opportunity, whether it's end-to-end applications or foundational models or infrastructure like the Vela cloud-native supercomputer you just announced?
Arvind Krishna : Kyle, great question. I'm not sure we have an hour so I'll try to my answer into 2 or 3 minutes. So we see a lot of opportunities. You used the word foundational models. So I think that, look, just for everybody else, AI has gone through sort of 4 generations very quickly from expert systems in the '80s and '90s, to machine learning, through about 2010, deep learning for the last decade and now this era of large language models and generative AI. We believe it has a tremendous application to the B2B side of AI inside enterprises. I kind of capture it as AI for business as opposed to AI for consumers. A lot of the excitement out there is on AI for consumers, and I think it's going to be a home run for those companies that are going down that path. But there's a lot of industries where people still worry about their data. They are careful about what's used to train the data. They cannot have an answer that occasionally inserts some friction into the answer. They need an answer that is from reliable sources only. Then the second part is a lot of these techniques, what people don't realize is it takes down the cost of deploying AI. What we are seeing is that a large language model can be trained and then do 100 tasks with very minor additional training. So yes, the first training is a lot more expensive, maybe 4, 5 times. But then if you can do 100 tasks for almost no additional cost, you can see that the overall is a 4 to 5x benefit in terms of time to value and productivity. So what are some examples? We did a preview of AI for ITOps around a product called Ansible. We're calling it Project Wisdom is our internal code name, but it shows that you can get 60% to 80% of the code that our IT operations person might write, gets written by the AI. Well, that's a 3x to 4x productivity for that individual. That's one example. Another example that we use, and you can see that play through in our customer care examples, which are multitudeness whether it's order-taking at McDonald's or CVS Health or Bradesco Bank, where we can now do 10 to 15 to 20 languages as in Spanish, French, English, German, for the cost of effectively 1 language from the past. So that shows through in the speed of deployment that we can do there. The areas that we are focused on to go drive all this is customer care, IT operations, digital labor and an example of that is what Jim talked about in our internal service centers and in cybersecurity. You'll see it come through sometimes directly, like I talked about in Wisdom, sometimes embedded with one of our software partners and sometimes as a piece of one of our products, be it our data lake products or our cybersecurity products, so in all those 3 flavors, consulting with clients, products from IBM and products with ISVs.
Arvind Krishna : So let me now wrap up the call. I hope what you took away from this discussion over the last hour is we feel very good and confident about our ability to meet client needs in this environment and our ability to deliver value to shareholders. I look forward to continuing the dialogue as we move through the year.
Patricia Murphy: Sheila, I'll turn it over to you to wrap up the call.
Operator: Thank you for participating on today's call. The conference has now ended. You may disconnect at this time.